Operator: Ladies and gentlemen, thank you for standing by and welcome to the MediPharm Labs 2023 Fourth Quarter and Full Year Financial Results Conference Call. Please be advised that today's conference call is being recorded. Before we begin, please note that remarks today may contain forward-looking information and forward-looking statements within the meaning of applicable security laws. This includes, without limitation, statements about MediPharm Labs and its current and future plans, expectations, intentions, financial results, levels of activity, performance, goals or achievements and other future events, trends, profitability, business growth or development. Forward-looking statements are made as of the date hereof based on information currently available to management of MediPharm and on estimates and assumptions made based on factors that MediPharm believes are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. Many factors could cause actual results to differ materially from those expressed or implied by forward-looking statements. Additional information is contained in MediPharm Labs' filings with the Canadian and provincial security regulators which are available on SEDAR at sedar.com. The company's remarks may also contain references to certain non-IFRS financial measures, including EBITDA, adjusted EBITDA, growth, gross profit and adjusted gross profit. These measures do not have any standardized meanings according to the International Financial Reporting Standards or IFRS and therefore, may not be comparable to similar measures presented by other companies. MediPharm believes that nonprofit IFRS measures reference provided information useful to shareholders and investors in understanding our performance and may assist in the evaluation of the combined company's business relative to that of its peers. For more information, please see the section titled Reconciliation of non-IFRS measures, the most recent MD&A of MediPharm which is available on SEDAR. I will now pass the call over to David Pidduck, Chief Executive Officer of MediPharm. Please go ahead, sir.
David Pidduck: Thank you, operator and good morning, everyone. We appreciate you joining us for MediPharm Labs Q4 and 2023 Year-end Conference Call. Joining me on the call today are Keith Strachan, MediPharm's President; and Greg Hunter, the company's Chief Financial Officer. I will address some of our highlights for the year and then hand the call over to Keith and Greg to provide more insights on the quarterly results and full year results. Over the last year, we have increased revenues while simultaneously increasing gross margins and reducing expenses. We have integrated VIVO while actually decreasing our costs and drastically improved on our adjusted EBITDA performance. As we enter 2024, our gross profit margins are approaching 30%. Our OpEx is significantly reduced and our quarterly adjusted EBITDA is getting closer to breakeven. With the resolution of outstanding litigation, our balance sheet is clean and we enjoy $18 million in cash at year-end with less than $3 million of debt and full ownership of our assets, including 3 production facilities. 2023 saw the continuation of MediPharm's turnaround and financial restructuring, positioning us for further growth in 2024 and beyond. Revenues are up almost 50% versus prior year. Gross profit has improved from negative 9% in 2022 to 18% in 2023 and 24% in Q4 2023. OpEx has decreased year-over-year despite the integration of VIVO, i.e., we are now running both companies for almost 10% less than the cost of running MediPharm stand-alone in 2022. 2023 saw extensive restructuring that exceeded our VIVO synergy targets. Some of these synergies occurred later in the year and are not yet fully reflected in our annual or Q4 results. Adjusted EBITDA losses have been reduced from $21 million in 2022 to $10 million in 2023, with $1.6 million loss in Q4 2023. We see these quarterly trends in EBITDA improvement continuing into 2024. I want to highlight management's opinion regarding our stock price. Management believes that given our financial results and strong balance sheet, that our stock price is undervalued relative to our peers and the industry as a whole. Recall that we have $18 million of cash at year-end and less than $3 million of debt with full ownership of our $20 million to $25 million in real estate assets, including production facilities in Barrie, Ontario; Napanee, Ontario; and Hope, BC. We look at enterprise value, EV, a measure of the company's total value or said another way, EV is equity value plus net debt. When we compare our EV-to-revenues, we believe that MediPharm looks significantly undervalued relative to the industry and relative to our peers. When management looks at our enterprise value to revenue ratio, MediPharm has among the lowest ratios at about 0.3 to 0.4 EV-to-revenue ratio. That is significantly less than our peers or the industry as a whole, let alone some of the larger players. The industry mean is around 1.4x. The industry average is around 1.2x to 1.4x. The range of some key players, excluding MediPharm is 0.8x to 2.4x. If MediPharm were valued even at 1.2x as an EV-to-revenue ratio, it would reflect a stock price of approximately $0.14 to $0.15 versus our average recent share price of around $0.07. That would represent a market cap of approximately $60 million, contributing to management's view that we could be undervalued by as much as 50% to 100%. With $18 million cash at year-end and an adjusted EBITDA loss of $1.6 million last quarter with limited debt and owning all of our assets outright, our financial stability allows us to now consider investments in growing the top line. Many of our peer companies are still struggling with significant losses, high debt loads, including, in some cases, large unpaid CRA excise tax exposure. These challenges have even forced some to seek creditor protection through the CCAA process. Obviously, as the industry consolidates, our strong balance sheet and cash position also allows us to carefully consider appropriately valued, potentially accretive M&A transaction. We have focused investments over the years in building our pharma, medical and clinical capabilities. Our extensive suite of regulatory approvals in GMP, drug establishment license, natural health products and other licenses allows us to ship cannabis and drug products to more than 10 countries, including Germany, the U.S., Australia and Brazil. With tightening requirements in multiple jurisdictions, including Australia and our recent successful Anvisa Brazil audit, we've been approached by many international and domestic producers for support with quality-focused GMP production and supply. In the last several months, we have signed a number of new B2B international and domestic supply agreements, including deals with leading pharma companies in Brazil and several leading medical cannabis companies in Australia. In Canada, with industry consolidation, we have seen renewed interest regarding B2B quality-focused manufacturing opportunity. Together, these deals could represent over $10 million in annual revenue potential. We are excited about the new international revenue opportunities to build on our GMP licenses, our quality focus and our regulatory expertise in multiple geographies. We look forward to growth in 2024 as these new agreements begin to translate into revenue. In addition, 2023 saw a shipping clinical trial materials for multiple drug trials, including the multisite [ph] trial in the U.S., exploring cannabis for agitation in Alzheimer's patients. We have successfully settled 2 significant complex legal disputes, both improving our cash position and maintaining our strong B2B relationships. On the cost side, we have worked through several rounds of restructuring, reducing FTE costs by over 30%, making us leaner but stronger. We have had and will continue with our relentless focus on both cost and margins. On the margin side, we have ensured through rigorous ongoing line-by-line profit reviews that products we sell into various market segments are all profitable. This cost and margin attention did not come without difficult decisions on people and products and markets. I want to now address more directly our significantly improved financial situation. We have been focused on getting to profitability, being cash flow positive and maintaining our strong balance sheet. In Q4 2022, the company had a quarterly adjusted EBITDA loss of $3.6 million. As I mentioned earlier, in Q4 2023, the company had reduced the quarterly adjusted EBITDA burn to $1.6 million and our work is not finished. In Q4 of 2023, we implemented a further round of restructuring. In Q1 2024, we expect to see continued progress on reducing this quarterly burn rate as further restructuring and optimization efforts take effect. Gross margins have improved from being 4% in Q4 2022 to almost 30% in Q4 2023. As we have focused on improving margins, we've been diligent in our pursuit of higher-margin business and in exiting or managing lower margin or negative margin business. We finished 2023 with $18 million in cash. This very favorable financial position with limited debt and owning all of our facilities outright positions us well to invest and grow, both organically and through participating in thoughtful industry consolidations. So now we have margins, OpEx and EBITDA results all trending in the right direction. We also have a robust revenue pipeline with a number of new agreements signed and in the works from multiple partners in multiple markets. The transformation to a profitable growing company continues. We are excited about some of the new revenue opportunities that Keith will discuss. To summarize, revenue, gross profit, adjusted EBITDA improved versus prior year, largely driven by our profitability focus, the successful VIVO integration and cost reduction initiatives. With our profitability initiatives showing good results, we can further increase our focus on profitable revenue growth. Our experience with the VIVO integration has shown that we can quickly and profitably integrate and drive synergies with like-sized organizations and we are confident that this approach can be repeated. As we head into 2024, we continue to focus on reducing costs, driving revenue growth in selected profitable segments, progressing our longer-term pharma opportunities and growing our portfolio and revenues in international markets. I will now pass the call over to our Co-Founder and President, Keith Strachan.
Keith Strachan: Thanks, David. 2023 was a great year for MediPharm Labs. When looking at the whole year perspective, our biggest win was our ability to complete the acquisition of VIVO Cannabis and execute our integration ahead of schedule and with more synergy savings than anticipated. Focusing on Q4, I'd like to take a few minutes to outline some of the major milestones and how this positions MediPharm for continued improvement in 2024. In Australia, we integrated the business of branded medical products with the acquisition of top flower brand, Beacon Medical. In Q4, we had our first full quarter of GMP oil and vape sales. For vapes, in particular, we entered the market after the implementation of stricter GMP rules which saw some competitor SKUs forced off the market. We have been able to leverage our 5 years of experience in vapes in Canada to bring patients a better quality vape experience. This is the groundwork for Australia in 2024, where we plan to take a top 5 position in the vape market to match our flower positioning. In Germany, our success in medical cannabis oil sales continued. STADA, our German pharmaceutical partner, remained number 2 in market share of the oil category. The most exciting development in Germany in Q4 was the commercialization of our natural Dronabinol product. Dronabinol is a THC isolate, often distributed to German pharmacies in glass syringes for further compounding needs. We believe that our natural GMP Dronabinol manufacturing and selling process is unique to MediPharm and is industry-leading in mitigating risk of quality and oxidization issues. The scale allows us to be competitive on current industry pricing while maintaining healthy margins. In 2024, Dronabinol will be a big part of our growth in German sales. In 2023, we sold just under $100,000 of this product, mostly for partner R&D. At this point, in 2024, we have already shipped this product to 3 customers and our sales and open orders are already over $1.5 million. Our biggest international regulatory highlight in Q4 was our successful in-person inspection of pharmaceutical GMP for Brazil. Brazil pharmaceutical regulators have a global reputation of being tough. As such, MediPharm is the only cannabis company in North America that's completed this inspection process. The Brazilian medical cannabis market is expected to reach CAD 380 million in 2025 according to a 2023 report by industry observer, Kaya Mind. MediPharm currently manufactures 2 medical cannabis products with full Brazilian product authorization. In 2024, we expect that the new GMP certification, along with success of a pending product registration with our large Brazilian pharmaceutical partner will lead to material ongoing sales in this jurisdiction. Turning to Canada. In 2023, we took a step away from some Canadian oil use activities as we saw sharp changes in certain product categories and pricing. The Canadian adult-use market is the largest federally regulated cannabis market globally and continues to grow. Considering that and our advanced manufacturing capabilities, it is still a market we will focus on for success. Given the time to reassess the domestic market, we started increasing activities in Q4. This started with the launch of new SKUs. Of the 40 unique SKUs launched in 2023, 15 were launched in Q4. This includes new SKUs focused on wellness consumers where we perform best. Specifically, the launch included the addition of capsules and the Canadian industry-first wellness-focused vape line. This portfolio expansion and refresh as well as revised sales and marketing strategy allows us to grow in this expanding category in 2024. This brings consumer wellness-focused cannabis products ahead of possible legislation changes that allows consumers to access CBD via natural health product channels. There are many other great commercial projects happening at MediPharm, including preparing for a CBD natural health product channel in Canada, preparing for future generic Epidiolex in the U.S. and growing our clinical study business. I would like to take a moment to provide commentary on the continued signals in the U.S. that cannabis may be rescheduled by the DEA. First off, I believe that cannabis should have never been classified as a schedule I drug. Any changes in any jurisdiction to increase access to patients and reduce stigma for adult users is great for the global industry. What we think is lost on some investors is MediPharm's competitive advantage in this possible change. The change in scheduling is being done by the DEA. This could also result in new DEA guidelines on the handling and distribution of cannabis. MediPharm has experience here as it has had its licensing reviewed by the DEA, a process we must undertake to make U.S. exports for clinical research. Our actual U.S. import permits are issued to MediPharm from the DEA. We believe another outcome of rescheduling is U.S. FDA oversight of the cannabis industry, particularly in manufacturing. The U.S. FDA regulates everything from pharma to food products. The cannabis should be no different. The U.S. FDA guidelines on drug manufacturers are script. MediPharm Labs is one of only a handful of sites in the world with natural THC production where the FDA drug manufacturing department has physically inspected. This validation of our quality management system and experience puts us in a different category than almost all of our cannabis peers. I'm excited about what 2024 brings to the cannabis industry, in particular, MediPharm Labs. We will see a year where global regulatory changes further open international markets like Poland and France. While in Canada, the mounting pressure on cannabis license holders and government regulators will force positive changes in the reduction of number of cannabis companies and perhaps even excise reform, a truly pivotal year. I'll now pass the call to Greg to discuss MediPharm's financials.
Greg Hunter: Thanks, Keith and good morning, everyone. As discussed in prior calls, MediPharm Management has been focused on growing our revenue base through organic and inorganic initiatives, reducing cash burn and driving towards profitability as key priorities. I'm pleased to report that 2023 was a transformative year for MediPharm with respect to these priorities. On April 1, 2023, MediPharm acquired VIVO Cannabis in an all-equity business combination, resulting in significant expense synergies, revenue growth and diversification with the addition of a domestic medical channel and cannabis clinic business with over $12 million in annual revenue and an Australian medical business with over $7 million in annual revenue. As a result, revenue increased 50% from $22 million in 2022 to $33 million in 2023. Gross margins significantly improved driven by expense reductions, production efficiencies, price adjustments and SKU rationalization. The results speak for themselves as gross margins improved from negative 9% in 2022 to positive 18% in 2023 and our Q4 2023 gross margin was 24%. We aggressively reduced our OpEx and implemented expense synergies with the VIVO acquisition. 2023 OpEx was $21.5 million or 10% lower than 2022, despite the integration of VIVO which had an OpEx base of approximately $17 million. Said another way, we are operating both companies on the legacy MediPharm OpEx. We strengthened our balance sheet with the resolution of 2 receivable disputes with settlements valued at approximately $10.5 million and we sold idle assets for approximately $2 million. These initiatives improved our cash position and further strengthened our balance sheet. Our cash balance at December 31, 2023, was $18 million and we have less than $3 million of debt. Finally, we significantly improved our adjusted EBITDA with our focus on revenue growth, gross margin expansion and OpEx reductions. 2022 adjusted EBITDA was negative $21 million, while 2023 was negative $10 million and Q4 2023 was negative $1.6 million. While we had significant financial improvements in 2023, we still have more work to achieve profitability. Our team continues to focus on growing our revenue base through organic and inorganic initiatives, reducing cash burn and driving towards profitability as key priorities in 2024. Turning to the P&L performance for the fourth quarter. Revenue for the fourth quarter of $9.1 million increased $3.5 million or 63% versus prior year, while year-to-date revenue of $33 million increased $10.9 million or 50% versus prior year. Revenue increased $0.6 million or 7.4% sequentially from Q3 2023 driven across all streams with the exception of international medical cannabis which declined driven by order timing in Australia. Canadian adult use and wellness revenue of $2.7 million in Q4 2023 declined versus Q4 2022 as we selectively increased prices, carefully managed sales and marketing expenditures and exited select products with a focus on profitability. However, Q4 2023 revenue increased $0.4 million or 19% sequentially versus Q3 2023. Canadian medical cannabis revenue for Q4 2023 increased significantly from $1 million in Q4 2022 to $3.8 million in Q4 2023 driven by the integration of the VIVO medical channel. Revenue also increased $0.2 million or 7% sequentially versus Q3 2023. International Medical revenue increased from $0.7 million in Q4 2022 to $2.3 million in Q4 2023 driven by the integration of VIVO's Australian business. Revenue declined sequentially from $2.6 million in Q3 2023 driven by shipment timing in the Australian market. As discussed in prior calls, the international markets will fluctuate as the market develops and matures. The international business represented approximately 30% of total revenue in 2023. Pharmaceutical and B2B revenue at Q4 2023 of $0.4 million declined from $0.5 million in Q4 2022 and increased $0.3 million sequentially from Q3 2023. As Keith discussed previously, pharmaceutical revenue is a longer-term strategy and will take time to pay off as clinical trials progress and applications make their way through the long-term process of approvals. Gross profit for Q4 was $2.2 million or 24.3% which improved significantly versus Q4 2022 gross profit of 3.8%. Q4 gross profit declined sequentially versus Q3 2023 driven by inventory provisions and timing of Australian order shipments. Q4 gross profit was 28.3% when adjusting for several discrete items, such as biological asset fair value adjustments, inventory provisions and severance for restructuring. 2023 gross profit was $5.9 million or 17.7% and improved $7.8 million versus 2022 gross profit of negative $1.9 million. 2023 gross profit was $8.3 million or 25.1% when adjusting for several discrete items, such as biological asset fair value adjustments, inventory provisions and severance for restructuring. Gross profit continues to improve driven by product mix, production efficiencies, selective price increases and cost reductions. Management continues to focus on efficiencies to drive gross profit. General and administrative expenses in the fourth quarter of $3.5 million is in line with prior year despite the integration of VIVO and decreased sequentially from $4.5 million in Q3 2023 driven by restructuring implemented in previous quarters. Marketing and selling expense of $1.5 million was consistent with Q4 2022 and Q3 2023 despite the incorporation of VIVO. Total OpEx which includes G&A, marketing and selling and R&D expense was $5 million and is consistent with Q4 2022 despite the integration of VIVO. In addition, Q4 2023 operating expenses declined sequentially by $1.1 million or 18% versus Q3 2023 driven by continued expense reductions. Full year 2023 operating expenses of $21.5 million were 10% lower than prior year despite the integration of VIVO. This means MediPharm was able to run both the legacy MediPharm and VIVO business on the legacy MediPharm expense base as a result of synergies and cost reductions. Management continues to focus on expense reduction opportunities. Adjusted EBITDA for Q4 of negative $1.6 million improved $2 million or 56% versus Q4 2022 and improved $0.8 million sequentially versus Q3 2023 of negative $2.4 million. Full year 2023 adjusted EBITDA was negative $10.2 million which improved $10.4 million or 50% versus prior year. This improvement is driven by expansion of gross margins and the reduction of operating expenses. In 2022, MediPharm's adjusted EBITDA averaged negative $5 million to $6 million per quarter and VIVO averaged negative $2 million per quarter. Combined, the 2 companies averaged negative adjusted EBITDA of $7 million to $8 million per quarter in 2022. In addition, MediPharm's Q1 2023 adjusted EBITDA was negative $3.1 million, Q2 2023 was negative $3.2 million and Q3 2023 was negative $2.4 million. This means the company was able to incorporate VIVO and improve profitability relative to Q1 2023, largely driven by cost reduction initiatives and synergy achievement. Moving to a few notable items on the balance sheet. Trade and other receivables decreased from $13.9 million at Q3 2023 to $5.5 million at Q4 driven by the dispute settlement as noted previously. As of Q4, 93% of accounts receivable is aged 60 days or less. Our cash balance at the end of Q4 was $18 million and the company has less than $3 million of debt. Contrary to many other cannabis companies, MediPharm is also up to date on cannabis excise duties, sales taxes and trade payables. Although we still have work to achieve profitability and become cash flow positive, Q4 was another step in the right direction. Revenue increased 7.4% sequentially to $9.1 million and 50% year-over-year to $33 million. Adjusted gross profit was 28% which improved significantly versus prior year. Adjusted EBITDA improved sequentially and versus prior year to negative $1.6 million. And finally, we have a strong balance sheet relative to our peers with $18 million of cash and less than $3 million of debt. As a result of our strong balance sheet and significantly improved financial performance, we are well positioned to invest in organic and inorganic growth opportunities as the industry continues to consolidate. With that, I'll turn it over to the operator to open the line for questions.
Operator: [Operator Instructions] We'll pause for a moment to compile the Q&A roster. Your first question comes from the line of Aaron Grey from Alliance Global Partners.
Aaron Grey: So first one for me. I just want to talk holistically on Germany. Obviously, some big news last week. We're moving from the narcotics April 1 which a lot of people were expecting could drive a lot of growth in the medical market there. So can you speak to us in terms of high level in terms of where you stand at all your operations. So you have Beacon, right? You have the STADA agreement. You're talking about Dronabinol. Can you clarify, is the Dronabinol, is that separate from STADA here? And then where do you stand in terms of the relationship with STADA. It seems like with the more traditional prescriptions, you might be able to leverage that relationship in their sales force a lot more. So if you can really just dive into more detail in terms of your plan of action with the change in Germany, that would be appreciated?
David Pidduck: Aaron, thanks for the question. It's Dave. I'll let Keith Strachan, our German expert, to take this one. There's lots of questions there and there's lots of good opportunities in Germany. So Keith, go ahead.
Keith Strachan: Yes. Thanks, Aaron. We're really excited about the legislation change. It's a little bit faster even than we expected. We thought that the federal representatives might have sent it back for further comments. So we're really happy with where things are at now and we're really excited about what it can do. I think for us, it's the removal of that narcotics license. So as you know, the legalization itself is based around more personal possession and personal cultivation to start. That's what they're calling Tier 1 and Tier 2, hopefully, will be somewhat of a commercial program. But by removing the narcotics license, it allows us to flow goods easier, allows our pharmacy partners to store goods easier and even places like in our distribution channel, whether it's special storage requirements and things like that. So I think that there's a really good opportunity there to see additional growth. You asked a little bit about where our business is in Germany and how it's broken up. Our main partner remains to be STADA and STADA is a large European generic and wellness-focused company. Right now, they're doing great in the oil category. So when it comes to flower, there are a lot of patients that are looking to -- that are more discerning customers and looking for the next hottest, coolest flower and what that is really focused on is the medical patients and those medical patients are using that oil product. And they are number 2 in that category in Germany today and it continues to grow. With the acquisition of Vivo, we did pick up the Beacon Health GMBH which has its own suite of licenses for import, manufacturing and distribution. We use that to strengthen our back end. And we do have a few SKUs that we do distribute under that Beacon brand but it's not a large piece of our business today. It's something that we look to grow in the future. And then lastly, I'll just touch on Dronabinol. As you mentioned, Dronabinol is a THC isolate and is used as a compounding product. And traditionally, a lot of the production has been done synthetically. And that synthetic chemical production is very high cost. And so what we were able to do is we're able to do a natural process here at our factory in Barrie under GMP pharmaceutical conditions and we can make that at a larger scale and arguably also at a more competitive price and we have started selling that in the market in Q4. In Q1, sales have picked up drastically for that product. It's not something that's distributed by STADA. It's really used as like an API and a compounding as -- from specialty pharmacy. So STADA themselves are more focused on their brands. So they have the Canada but STADA, brand and they continue to grow that brand. And so the generic product, we do through a number of other distributors and it's more of a distributor pharmacist relationship than actual product.
Aaron Grey: Great. Really appreciate that, Keith. I would like to dig a little bit more in terms specifically with STADA in Germany. So how have your conversations been with the company? Are they planning to put more and more manpower to it? Do they believe that there's going to be a big increase in terms of the physicians that will adopt it. It no longer has to be the yellow prescription, right, with the narcotics. It can be just much more lower barrier record keeping, et cetera, from how we understand it, now that's removed from narcotics. So that -- what's STADA's approach in terms of things that will open up physicians and patients? And then also, can you just remind us terms of the agreement? Was it a 5-year agreement for you guys there? And any updates on potentially extending that?
Keith Strachan: STADA is also excited about the changes. I think you kind of nailed the one area that is easier for prescribers now, not being in narcotic. So other physicians would be more comfortable with prescribing it. They have -- STADA has one of the largest sales teams in Germany on the medical cannabis side and so they'll look to leverage that further. And then I think when you think of STADA themselves, they also are marketing hundreds of other pharmaceutical products to physicians in Germany and throughout Europe. And so it's now how do they leverage those relationships further to possibly talk about cannabis and medical cannabis products with those physicians who really wouldn't have prescribed it before based on that narcotic handle. So there is a really big opportunity there and we continue to look at that within Germany and other jurisdictions. I think you mentioned the contract. The contract is a 5-year contract with some options to extend. And the 5 years actually started from the first delivery. So even though we signed it in October of 2020, the first sale started in February of 2021. So we are under the original contract until February of 2026. And then we'll have some options to extend without any heavy lifting on the actual agreement side. Their business continues to grow on their side, especially with their higher-margin product in the oil. So they're happy with the business and I see this growing far beyond that 2026 end date of the original agreement.
Operator: [Operator Instructions] Your next question comes from the line of Scott Fortune from ROTH MKM.
Scott Fortune: Real good color on the German side as we think that's a big opportunity. Maybe you can get into kind of other international markets, the Brazilian side is a little bit there. And then just provide more color around the Canadian market as we see the excise tax here relief for the industry and just the opportunities there for positioning and growth throughout the Canadian market in '24 would be helpful. How you guys are seeing that play out here?
David Pidduck: Yes. Thanks for the question, Scott. Again, I'll have Keith talk to all of those and maybe I'll ask Keith basically talking about our revenue growth opportunities. So I think there's Brazil but there's also Australia. So I'll just ask Keith to also touch on Australia before he addresses the Canada piece. So I think all of the areas you highlighted have some good growth opportunities and some of them are emerging and we'll see in 2024. So Keith, maybe you want to cover those?
Keith Strachan: Scott, thanks for joining us this morning. Brazil is something that's really exciting for us. We have really been a pioneer in the industry of doing the proper path of authorized prescription product in Brazil. So Brazil started like a lot of other companies with Compassionate Care and there wasn't a lot of regulations to bring into that. The Brazil Health Regulatory, Anvisa, has now pushed towards more of the authorization. There's probably only a dozen authorizations today. MediPharm holds 2 of those. Having that authorization, even though they accepted our Canadian GMP drug establishment license to begin with for the export, they wanted to come and do an actual inspection of our facility. So in December, in Q4, they were here for a week and they did their thorough inspection of our facility. And we are the first facility in North America that Anvisa has inspected through to completion for cannabis and cannabis manufacturing. So it's something that we're really quite proud of. On the commercialization side, we have signed an agreement with a large pharmaceutical company in Brazil that we are looking forward to disclosing further later. And really what that does is it gives us access to that market in a bigger way than we have been operating there in the last year. And so we're just waiting on the next major milestone there as we're waiting on one more product authorization from Anvisa. It's a long process where you submit a whole [indiscernible] that includes everything from product characterization to both stability studies and end-use stability. So it's not something that something could speed up and it creates a competitive moat for timing. So no matter how much a competitor wants to do as far as spending resources on it, they can only catch up so much with those. So it's really a good opportunity there and we're looking forward to doing some meaningful things in Brazil in the back half of this year. On the international side, I touched on Germany and Brazil. I think what's really important is Australia. We've made really big strides in Australia since acquiring VIVO and taking over the Beacon Medical brand in Australia. And Q4 was our first full quarter of oil and vape sales there. So flower has been a great flower brand there since 2018, one of the top 5 flower brands on a consistent basis in Australia which, like every other market is the more popular product. But what we did is we launched oil and vapes. And then in particular, in vapes, what we saw is a great opportunity because the rules got stricter at the same time as we launched. So the vapes had to be GMP. So same thing have gone around. Process validation and stability were things that were needed. And so what that did is it removed a lot of SKUs from the market. So our competitors are forced to leave the market with those SKUs. And then we're able to see growth there. So we have big plans to maintain leadership in that category in Australia going forward and we have some new sales folks in Australia, medical sales liaisons who are talking with physicians and we think that we can continue to grow that brand since acquisition. I will touch on the Canadian market as well. It's a very large market for us, probably the largest addressable market for us, where we have seen growth in different ways. In 2023, we probably took a step back from some of our activities there just as we saw some ups and downs in what the industry was doing. In particular, as you mentioned, in excise tax. I think there was probably too much reprieve for some of our peers in excise tax, especially through the pandemic. So they were able to sell products at even further than a loss than companies like ourselves who are paying excise on a regular basis and are keeping our -- diligently keeping our accounts up to date. So we took a step back. That's changed now. The excise, even though there are still some large -- there's some very large outgoing balances with some of our peers, what we don't have is just the wide open reprieve. So even if you have a balance, they are now -- those license producers are now being forced to be current. And what that does is I think it helps even out the playing field as far as pricing goes and marketing goes. So we have taken the time in 2023 to kind of relook at that portfolio and relaunch and refresh some of it. And a lot of that happened in Q4 to set up for a successful 2024. So in Q4, we launched a number of additional products, 15 different SKUs in the Canadian market which is big for MediPharm and a lot of that was focused around wellness type products like capsules. And we even launched a wellness-focused minor cannabinoid vape which wellness-focused vapes, were not something that were in Canada before we launched those products in November and December. So we look to see the success in that in 2024. And wellness is kind of where we play within that market and where we win when it comes to that and we've seen that in our market share in small categories like cannabis oil.
David Pidduck: Yes. The only other thing I might add, Scott, was the great unknowns about excise tax and what happens. There was some -- in the recent Canadian report, there were some recommendations for eliminating medical or reducing medical excise. So who knows where that will come together. There's a lot of speculation about changing to a percentage basis for excise tax overall. So some of the things that will benefit the entire industry would benefit us as well and then some of the things like related to medical would uniquely benefit players who are -- have a significant presence in the medical space like us. So we -- if all of those recommendations sort of came forward, we probably would benefit sort of more than average from the excise tax reform, again, if any, does occur.
Scott Fortune: I appreciate all that color. I don't know if I missed on some of the comments earlier but kind of looking at M&A, obviously, a good balance, strong balance sheet here. You've mentioned a lot of Canadian opportunities that you'll be kind of diligent there. But finally, you want to find a similar partner to VIVO but are you looking at potentially adding potential opportunity to sell into the international opportunity with categories or products to fully utilize your manufacturing, your facilities there? Just kind of how are you looking at kind of approaching M&A and the opportunity there with these international markets potentially open up for you here?
David Pidduck: Yes, that's a good question on M&A and we are still actively as we've said, looking at M&A and our balance sheet puts us in a really strong position to consider M&A. We are looking for ones that would be accretive. So that's obviously important to us. I think synergy is the important thing. So VIVO had lots of synergy in terms of the international opportunities but also from a cost perspective. Many of the folks that we're talking to or considering now one of the things that they value out of a potential partnership going forward is our international presence. So as you know, some companies have an international presence from a Canadian perspective but most Canadian LPs do not. So we're also looking at international opportunities but a lot of -- I would say, a lot of Canadian LPs don't have any international presence. And so we represent significant synergy for growth opportunities, revenue synergies as we look at being able to use our channels for anyone that we might acquire or work with to grow their business through our international channels. And we're doing that -- we're doing that on a licensing agreement perspective and looking at many deals with companies to do that, not in a full M&A perspective but also that's certainly one of the things and one of the synergy opportunities we look at as we consider M&A. And I'd just say we'll be really thoughtful as we were with VIVO. VIVO, I believe, was extremely successful for us in terms of driving shareholder value. And I think anything we look at in the future, we would hope to similarly be positive and accretive for shareholders.
Scott Fortune: That's helpful. If I could slip one more in on there. You announced additional cost cuts here on kind of the OpEx side and fully further optimizing your utilization but can you provide a little more color or detail us on these additional cost reductions and added contract manufacturing, kind of a little more color on that would be helpful for '24 here?
David Pidduck: Yes. So 2 different things there. On the cost side, we have been constantly going through different ways of restructuring focus in different areas. And in Q4, we had a further round of restructuring that had some significant numbers of FTE departures from the organization. Some of that is partially reflected in Q4 but most of that we will actually see in Q1 and the subsequent 2024 quarter. So it's just a way of saying that the improvements we've seen on EBITDA and the improvements we've seen on the cost side of things are not fully baked in yet. We have further reductions and further positive news coming as decisions we've already made and frankly already implemented get worked in. And then having said that, we are constantly looking at incremental opportunities to streamline, to leverage, to get maximum optimization of facilities. And so we would, aside from revenue growth which also is driving improvements in EBITDA, we still have further things on the cost side that are going to improve our EBITDA performance. And maybe specifically on the contract manufacturing, both from an international perspective and a domestic perspective, it's been very active over the last, I'll say, 6 months in terms of many -- and Keith mentioned the Australia opportunity where a number of manufacturers were no longer able to provide GMP products for the market. And our activity level of many people coming to us, Australia and Brazil and other places where we -- as the rules get stricter, fewer companies can meet the standards. And so we've had lots of activity in terms of new business opportunities over the last 6 months. And similarly, in Canada, for a variety of reasons, cost related, a lot of quality related and a lot related to existing outsourced partners having troubles, whether that's CCAA troubles or other troubles, we have seen an uptick in, I'll say, manufacturing -- optimization contract manufacturing, really from a number of sources who may have been with other competitors looking to, I'll say, a better quality and a better financially secure partner opportunity. So there's been a number of those and we hope to -- we hope that, that also -- as those work into our results show further EBITDA and revenue improvement. I don't know if Keith or Greg would add to that.
Operator: We currently have no further questions in our queue at this time. I will now turn it over to the MediPharm Labs management for closing remarks.
David Pidduck: Great. Thank you, operator. Thank you, everyone, for joining us. Just a reminder that the full text of the conversation here will be online in the next several hours. So if there was any challenges on timing, you'll be able to see or hear the entire script. So thank you, everyone, for joining us. We're very excited about the results we are able to present. We're very excited about 2024 and we will see you for Q1 results. Thanks for joining.
Operator: This concludes today's conference call. Thank you for your participation and you may now disconnect.